Operator: Good morning. Thank you for attending today's Clarivate Second Quarter 2022 Earnings Conference. My name is Alexis, and I will be your moderator for today's call. All lines have been muted during the presentation portion of the call with an opportunity for questions-and-answers at the end. [Operator Instructions] I would now like to pass the conference over to our host, Mark Donohue with Clarivate. You may proceed.
Mark Donohue: Thank you, Alexis, and good morning, everyone. Thank you for joining us for the Clarivate second quarter 2022 earnings conference call. With me today are Jerre Stead, Executive Chair and Chief Executive Officer; Jonathan Gear, Chief Executive Officer-Elect; Jonathan Collins, Chief Financial Officer; Gordon Samson, Chief Product Officer; and Steen Lomholt-Thomsen, Chief Revenue Officer. All will be available to take your questions at the conclusion of prepared remarks. As a reminder, this conference call is being recorded and webcast and is copyrighted property of Clarivate. Any rebroadcast of this information in whole or in part without prior written consent of Clarivate is prohibited. An accompanying earnings call presentation is available in the Investor Relations section of the company's website, clarivate.com, under Events and Presentations. During our call, we may make certain forward-looking statements within the meaning of applicable securities laws. Such forward-looking statements about known and unknown risks, uncertainties and other factors that may cause the actual results, performance or achievements of the business or developments in Clarivate's industry to differ materially from the anticipated results, performance, achievements or developments expressed or implied by such forward-looking statements. Information about the factors that could cause actual results to differ materially from anticipated results or performance can be found in Clarivate's filings with the SEC and on the company's website. Our discussion will include non-GAAP measures or adjusted numbers, including revenue and adjusted EBITDA. Clarivate believes non-GAAP results are useful in order to enhance an understanding of our ongoing operating performance, but they are a supplement to and should not be considered in isolation from or as a substitute for GAAP financial measures. Reconciliation of these measures to GAAP measures are available in our earnings release and supplemental presentation on our website. After our prepared remarks, we'll open the call up to your questions. And with that, it's a pleasure to turn the call over to Jerre Stead.
Jerre Stead: Thank you, Mark, and thanks to all of you for joining us today. I'll start by welcoming Jonathan Gear to his first Clarivate conference call. He's been with us for four weeks, and we are very, very pleased to have him. Starting September 1, he will become CEO following my decision to retire at the end of August. I have more to share on this topic in just a few moments. Turning to our second quarter results and highlights. We delivered a good quarter, including sequential improvement over this year's first quarter. Revenue of $687 million increased 60% at constant currency and was up 4.8% on an organic basis. Our growth was partially offset by our decision to cease commercial operations in Russia back in March. Our One Clarivate strategy is driving improved cross-selling. We had a record quarter for real-world data sales in health care. Also, ProQuest outperformed our plan due to higher academic year end transactional sales. However, the significant strengthening of the U.S. dollar is a major -- to a major extent and softening of the U.S. economy to a minor extent held us back from an even stronger quarter. Jonathan Collins will have more to say about this quarter shortly. During challenging economic times, our company is fortunate to have a very stable business model of almost 80% subscription and reoccurring revenue with retention rates of more than 91%. Our highly resilient model has held up well during stressful economic times as evidenced by the performance of our products during the last great recession in 2008 and '09, whereby all of our legacy businesses remained flat or grew slightly. Today, we have the benefit of being far better positioned from a product and operational standpoint than any time in our history. We have much higher margins and we're generating significant cash flow, which allows us to continue to invest in our business for the future, buy back shares and fund our debt payments. These are just a few of the reasons why we believe Clarivate is a compelling investment. As we exited the first quarter, we saw early signs that the One Clarivate model is beginning to work with deeper penetration of more than one product within the account base and a higher average spend thanks to bigger deal sizes. We continued to see evidence of cross-sell throughout the second quarter with products such as the Web of Science being sold to customers in CMT, professional services and life sciences and health care. The team also successfully sold life science products outside of LS and health care. With a global multibillion-dollar serviceable market, we have only scratched the surface of being able to offer a wider variety of products and services to our global customer base. The many improvements we've made are providing better line of sight to new opportunities and territorial visibility via a single sales process. The improvements will further accelerate execution and maximize our cross-sell and new business potential. While we're pleased with the early results, the current macro environment may impact the short-term acceleration of cross-selling. As we continue to implement One Clarivate, this represents a compelling growth opportunity for us. For the second quarter, our sales teams delivered record health care real-world data sales of more than $16 million. This represents a recovery of some of the softness we experienced and talked about late in the fourth quarter of 2021. The team also closed the largest ever real world data sale with a total contract value of more than $12 million spanning over several quarters. We're seeing the benefits of closely aligning our sales and product teams. The stronger alignment is creating customer platforms and acquiring new databases and solutions to meet market needs. We're now in a better position to also scale real worldwide data sales into cross segments of the market. While the overall transactional sales growth rate accelerated sequentially for the second quarter, revenue was tempered by recent macroeconomic pressures on trademark filings. Recently, we were honored to be awarded by the National Library Board of Singapore, the contract to help them build their library in the future. This is the largest single contract ProQuest Innovative has ever signed in its 40 plus years of operation. This multiyear deal worth double-digit millions of dollars in contract value extends our position as a global leader in library management software. And it's a real testament to the quality of products and services we provide to our customers, which our recent Customer Delight Survey results confirm. In May, we completed our first colleague engagement and Customer Delight Surveys for 2022. In a time of great uncertainty and disruption, the confidence in our company from colleagues and customers continues to be very high. Our success always has and always will begin with great colleagues, providing colleague engagement. We saw 85% of the colleagues responding to the survey with thousands of writing comments. We're committed to listening, learning and acting on this feedback as we strive to make Clarivate an ever better place for every colleague to work and find success. We have an exceptional story to share, and we want to ensure that every colleague is part of creating the bright future of Clarivate. Over 18,000 customers responded globally to our main Customer Delight Survey. I'm very pleased to share a score of 78, which is up from -- up 3 points from our updated 2021 baseline score and in line with our stretched goal for 2022. This is a testament to all of the focus our 11,700 plus colleagues provided delivering an exceptional customer experience. We've made meaningful progress as we continue to enhance our products, simplify our processes and expand our capabilities around the world. This milestone brings us one step closer to achieving our annual goal, which is tied to our Customer Delight Equity award program. That rewards all eligible colleagues within Clarivate with Clarivate restricted share units to participate in our company's success moving forward. Our Customer Delight program is all about listening and learning from our customers and putting their feedback into action. 30% of customers provided right in comments with more positive feedback than opportunity areas. We've all personally read every single comment and listened and learned. The highest score question was quality of products and services at 87, a remarkable testament to our performance. Information and insights remained flat at 85, also a very high score. And we're happy -- we're very happy to see that ProQuest results improved from 77 to 80. Our biggest opportunity remains the easy to do business with, which was at 57. Our product revenue, technology and operations teams are working together to ensure that we're taking the most impactful actions possible to improve in this critical area. You've heard me talk a lot about our sustainability efforts and the important role that it plays across Clarivate. Since we published our first report last year, we've been moving at a great pace embedding sustainability as part of our global culture and improving our measurement and reporting capabilities. In May, we published our second annual report. This report reflects to the work we've been doing today and every day. We've made significant progress towards quantifying our contributions and mapping our solutions to the 17 United Nations Sustainability Development Goals by going through a materiality mapping exercise. This initiative provided a very clear view of our current state in the process, and we're in the process of identifying key focus areas where we and our customers can make bigger impact today. Some of our goals include achieving carbon neutrality by 2024 with our sights on achieving a net-zero future as members of the Business Ambition campaign. We've committed to setting a science-based target, which we will share later this year. Last month, I announced my decision to retire as CEO at the end of August. Several years ago, I made a promise to my wife, Mary Joy of 60 plus years of marriage that as we approached 80 years of age, which will hit at the end of this year, I would begin to step back from full time executive leadership so that the two of us could enjoy more time together, pursuing our many passions, supporting our many non-profit activities and spending more time with our children and grandchildren. Just over three years ago, I stepped into the CEO for Clarivate shortly after we went public. In doing so, I had a key goal to make this one of the very best publicly traded information services company in the world. And I had three other goals to help achieve that. Those goals are around people, processes and platforms. It was important that we structured our company appropriately that we put the right leaders in place that we retained or hired the most talented colleagues in our industry and that we equip everyone with the right processes and systems to become one of the world's very best information insight companies. Over the last three years, we've made great progress on operational improvements. We've completed several significant acquisitions that has richly enhanced our portfolio for our customers. We put in place an exciting strategic direction for the future and a values-based One Clarivate culture. We've grown Clarivate from a company producing less than $1 billion of annual revenue to the point where we had the assets and infrastructure in place to drive us to a $3 billion run rate. Our adjusted EBITDA margins have expanded by more, well more than 1,000 basis points. And our free cash flow has and will continue to deliver significant increases each year. I'm very, very confident that we now have the foundation in place to grow faster and to be far more successful under the leadership of Jonathan. Jonathan and I started working together in March of 2005 at IHS when we hired him to be a key contributor as we successfully grew a world class business. He brings a deep understanding of our markets, business models and the opportunities we have in front of us. He is an outstanding leader, an outstanding executive with a very solid track record in delivering consistent financial results. His energy and passion for the work of information and analytics companies, his understanding of how to lead a public company like ours and his values and personality are important reasons as to why we believe and know that he's the perfect choice to become our next CEO. I want to thank all of my colleagues for the incredible work they've done to get us to where we're at today. We're better positioned now than at any time in our history. I also want to thank our customers who continue to value our products and services as evidenced by our high Customer Delight scores and our 91 ever-improving plus retention rates. Lastly, I also want to thank all of our shareholders for their continued support. While I'll be stepping away from the day-to-day activities, I will continue to be Clarivate's biggest cheerleaders for years to come. I now turn the call over to Jonathan Gear.
Jonathan Gear: Thank you so much, Jerre. I am honored and thrilled to be a part of Clarivate. Jerre has been a mentor and friend to me since 2005 when I started working for him at IHS, and I cannot thank him and our Board enough for this opportunity to lead one of the great companies in the world. Having spent many years in the information services space, Clarivate is very familiar to me and is like IHS in many, many ways. In fact, in 2012, I was closely involved when IHS was trying to acquire Clarivate at the time. It is a wonderful business with terrific assets. We have the best products and solutions in the science and IP space with a business model consisting primarily of subscription and reoccurring revenue and a strong cash flow. Since joining the company in July, I have spent time traveling to several of our locations, meeting with our executive leadership team and many, many of our colleagues. By the time I assume the CEO role in September, I will have had the opportunity to meet in person with almost half of our Clarivate colleagues globally. It's been wonderful to see the excitement, purpose and passion behind One Clarivate and a focus on delivering continued innovation to our customers. I have been impressed with what this company has delivered over the last two years despite the incredible change it has undergone, coupled with the travel and social restrictions caused by COVID. Our jobs around integration and further unlocking the value of One Clarivate are becoming much easier as the world opens. We have the talent, products and culture to scale Clarivate to much greater heights and achieve our long-term growth potential. I expect our leadership team to be laser focused on completing the integration required to realize this potential, including, for example, unlocking new value for our clients through product innovation, further supporting our commercial teams with improved go-to-market programs and processes, removing internal barriers to integrated business systems and supporting all of this by building one single team, which will unlock the One Clarivate value. In the coming months, I intend to dive deeper into our businesses and products, and I look forward to sharing my observations with you during our Investor Day later this year. Over the last few weeks, I've spent a lot of time with Jonathan, Steen, Gordon and our commercial teams reviewing performance to date and second half outlook. Like many global companies, we are currently dealing with the negative impact of a strong U.S. dollar and a deteriorating economic environment. The impact of these two macro events, particularly the impact of FX will temper our full year 2022 performance, which Jonathan Collins will cover in his section. Despite these short-term headwinds, I could not be more excited to be at Clarivate. Jerre and the team have collected a great set of assets that serves as a foundation of our future potential. I look forward to many, many future calls as we describe the execution results of our One Clarivate path. And with that, I'll now turn the call over to Jonathan Collins.
Jonathan Collins: Thank you, Jonathan. Good morning, everyone. Slide 13 is an overview of our 2022 second quarter and first half results compared with the same periods in 2021. Second quarter revenue was $687 million, an increase of $241 million compared to the same period last year, driven primarily by inorganic growth from the ProQuest acquisition as well as 4.8% organic growth, both of which were partially offset by a substantial foreign exchange headwind as the U.S. dollar strengthened dramatically against the basket of foreign currencies. This brings first half revenue to $1.35 billion for an increase of $475 million or 54%. EBIT was $135 million in the second quarter for an increase of $220 million over the prior year and was $281 million in the first half for an increase of $384 million as a result of a solid profit conversion on the revenue growth as well as mark-to-market gains on the private warrants. Net income attributable to ordinary shares was $44 million in the quarter for a growth of $176 million over the same period last year and was $95 million in the first half, an increase of $282 million over the prior year as higher EBIT was partially offset by higher interest and income tax expenses. Adjusted diluted EPS for Q2 was $0.22, a $0.05 increase over Q2 of last year, bringing H1 to $0.43, a $0.12 increase over H1 of last year. Operating cash flow was $97 million in the quarter, an increase of $9 million over the same period last year, bringing it to $165 million for the first half, which is a decline of $97 million from last year. The decline is due to the $150 million of payments out of restricted cash for the CPA equity plan as well as higher working capital requirements due to the normal seasonality of the ProQuest business. Please turn with me now to Page 14 for a closer look at the drivers of the second quarter top and bottom line growth over the same period last year. When we reported first quarter results in early May, we indicated that second quarter revenue would be between $690 million and $700 million, depending on the relative strength of the U.S. dollar. At an investor conference in early June, we highlighted that we would be at the low end of the range as a result of foreign currency as the dollar remains strong. During the month of June, the dollar strengthened further against the pound and the euro, accounting for the $3 million shortfall to the indication we provided. While organic growth was about 70 bps light of the low end of our expectations, this is only an impact of $3 million and was offset by a slightly stronger performance in the ProQuest business. When we look at the second quarter top and bottom line growth compared to the same period last year, it was driven by four key factors. First, organic growth was 4.8% and represented the second consecutive quarter of delivering 40 bps of sequential improvement. This added $22 million to the top line and $10 million to the bottom line for a profit conversion of 45%. Second, inorganic growth contributed $245 million to the top line and $74 million to the bottom line for a profit conversion of 30% on a pre-cost synergy basis. This growth is primarily attributed to the ProQuest acquisition, which modestly exceeded our expectations. Third, cost synergies net of certain operating expenses required to achieve them contributed $22 million of incremental profit from carryover savings completed last year associated with the CPA acquisition and continued momentum on the ProQuest cost actions. Finally, the translation of subsidiaries denominated in foreign currencies had a substantial impact in the quarter, reducing revenue by $26 million and profit by $21 million. The profit conversion is higher than normal as the translation impact was compounded by transaction losses. Please turn with me now to Page 15 for the same look at the first half of the year. First half top and bottom line growth over last year was a result of the same four factors. First, organic growth of 4.6% added a cumulative $41 million to the top line and $21 million to the bottom line for a profit conversion of just over 50%. As you see in the table on the lower left of the page, the organic growth rate is in line with the 2021 full year growth rate as improved pricing in our recurring business and continued traction in cross-selling were offset by transactional sales growth that continues to lag last year, as Jerre explained earlier. It's worth noting that renewal rates were in line with last year as retention improvements were offset by the adverse effect of suspending our operations in Russia, which restrained the growth rate expansion by nearly 40 basis points. Second, inorganic growth contributed a combined $473 million to the top line and $143 million to the bottom line for a profit conversion of 30% on a pre-cost synergy basis. This growth is primarily attributed to the ProQuest acquisition. Third, cost synergies contributed $47 million of incremental profit in the first half, bolstered by carryover savings with the CPA acquisition and continued progress on the ProQuest cost actions. This early traction is driving a $15 million outperformance of the $50 million commitment implied in our initial full year guidance, which I'll touch on in a few moments. Finally, the translation impact of subsidiaries denominated in foreign currency deducted $39 million of revenue and $28 million of profit, including transaction losses as the dollar strengthened significantly. Please turn with me now to Page 16 to see how the second quarter and first half profit converted to cash flow. Adjusted free cash flow, which excludes the impact of onetime costs, was $67 million in the second quarter, a decrease of $29 million over the same period last year and $258 million in the first half, which was essentially flat compared to 2021. Growth in adjusted EBITDA was partially offset by higher working capital requirements compared to the prior year that were primarily associated with the normal seasonality of the ProQuest business and timing of patent renewal payments in the servicing portion of our IP business. The increase in onetime costs in the first half, which are the cause of the year-over-year declines in operating and free cash flow, are entirely attributed to the payments from the Employee Benefits Trust to administer the CPA equity plan payout. Please move with me now to Slide 17 for a look at our revised full year guidance. As a result of the material strengthening of the dollar and the deteriorating macroeconomic backdrop, we've revised our outlook for the second half of this year. We are lowering the midpoint of our revenue guidance by $110 million and the majority of this, about $70 million, is due to foreign exchange. The balance, nearly $40 million, assumes the continued traction we see from implementing One Clarivate that was to yield accelerated organic growth on a full year basis compared to last year will be offset by the following factors that have a roughly equal impact: one, our inability to offset the headwind from our decision to suspend operations in Russia; two, lower brand and trademark registrations; three, software consulting services; and four, uncertainty around new subscriptions and other transactional sales in the second half. We now expect our organic growth rate to be essentially flat compared to last year and the first half of this year at about 4.5% and revenue of $2.73 billion at the midpoint of the ranges. Through strong cost discipline in the remainder of the year, we expect to maintain our original profit margin guidance of between 41% and 42%, yielding an adjusted EBITDA of approximately $1.14 billion at the midpoint of the range. Adjusted free cash flow is expected to be $625 million at the midpoint of the range for a conversion of approximately 55%. The $75 million decrease compared to the prior guidance is attributed two-thirds to lower profit and one-third to higher interest costs due to base rate increases and slightly higher capital requirements. Adjusted diluted earnings are now expected at $0.85 per share at the midpoint of the range. Please turn with me now to Page 18 for the major drivers of the expected revenue and profit growth for this year compared to last. As with the comparisons provided for the second quarter and first half top and bottom line growth, we expect the full year will be driven by the same factors. First, organic growth is expected to deliver approximately $85 million of revenue growth and about $45 million of profit growth for a profit conversion of more than 50%. Second, inorganic growth is expected to contribute an additional $870 million of sales and $285 million of profit for a profit conversion of just over 30% as a result of the ProQuest acquisition on a pre-cost synergy basis. Third, cost synergies associated with the CPA and ProQuest transactions are expected to add $65 million to profit. And finally, we expect the U.S. dollar to remain strong for the remainder of the year, resulting in about a $100 million headwind to revenue and a $55 million flow-through to profit. Slide 19 provides the expected seasonality of our revenues for the remainder of the year, which remains in line with last year's pro forma results. While we've not provided this quarterly top line indication in prior years and may not give it again in the future, we think it's particularly helpful this year given the large acquisition. As a reminder, the stacked bars on the chart represent our actual reported and pro forma revenues for last year. As you can see, they improved sequentially from Q1 to Q2 then modestly abated in Q3 before improving again sequentially in Q4. The combination of these bars represents the normal seasonality of our business after the full effect of the recent acquisitions but at actual rather than constant currency rates. The black line on the top of the chart represents our expectation for this year's revenue phasing. The midpoint of our guidance range contemplates an organic growth rate, pictured in gray, that is essentially flat with the first half of the year and based on the current foreign exchange rates would yield revenue in the range of $650 million to $660 million and $720 million to $730 million in the third and fourth quarters, respectively. The high end of the organic growth guidance range contemplates a continued sequential growth rate improvement of 40 bps through the remainder of the year as illustrated by the dotted green line and would yield full year growth of 5% or nearly 5.5%, excluding the impact of the decision to suspend our operations in Russia. The components of this growth rate expansion are illustrated in the lower left of the page as pricing and cross-selling would be modestly offset by transactional sales, where at the midpoint of the range transactional sales would be a more significant headwind and as a result of the macroeconomic climate. Please turn with me now to Page 20 for more detail on how we expect the full year adjusted EBITDA of nearly $1.14 billion will convert to free cash flow. Our full year outlook for adjusted free cash flow is now $625 million at the midpoint of the range and represents an increase of $165 million compared to last year. We anticipate the profit growth of approximately $340 million will be partially offset by higher interest to service the debt used upon the acquisition, higher cash taxes on the profit growth and modestly higher capital requirements as increased capital spending will be ameliorated by lower working capital needs. This outlook contemplates that nearly $0.50 of every dollar of profit growth will convert to cash. Please turn with me now to Page 21 for a reminder of how we've progressed over the past few years and the trajectory this implies for the future. Given the current strength of the U.S. dollar and the volatility of the macroeconomic backdrop, we're not in a position to dimension our outlook for 2023. As we have more certainty around the second half of this year, we will crystallize our guidance for next year. However, we remain confident that the top line will grow, profit margins and EPS will expand, and free cash flow will improve significantly on higher profit and lower onetime costs. The business remains poised to nearly triple in revenue, deliver profit margins in the mid-40s and approach $1 of adjusted diluted earnings and free cash flow per share. Please turn with me now to Page 22 for a reminder of why we believe this business will continue to grow even during a recession. We have leading brands of products that provide mission critical information and insights to a broad and global customer base. Our revenues represent a small fraction of the expansive total addressable market estimated at well over $100 billion, providing ample room for continued growth. Because our products are mission-critical, our subscribers renew at greater than 90% each year even during an economic downturn, positioning us as a compounder with the ability to grow through the cycle. And these renewal rates are so meaningful as about 80% of our revenue comes from subscription and reoccurring sales, providing a strong and stable base for growth. All of the products and services we provide deliver significant operating leverage as manifested in our high profit margins as we utilize the build at once, sell at many times, approach in our product development. The new software win in Asia from our innovative business that Jerre shared earlier is an excellent proof point of leveraging this model. Not only does this drive higher profit margins, but our free cash flow generation is poised to improve substantially as we complete the integration of the ProQuest acquisition. Finally, after building an accomplished leadership team, Jerre has appointed an information services veteran as successor in Jonathan to execute the One Clarivate plan and deliver profitable growth, leading to enhanced returns for all of our stakeholders. I want to thank you all for listening in this morning. I'll now turn the call back over to Alexis to take your questions. And as a reminder, please limit yourself to one question and then return the queue for any additional Alexis, please go ahead.
Operator: Absolutely. [Operator Instructions] The first question comes from the line of Manav Patnaik with Barclays. You may proceed.
Manav Patnaik: Thank you. I just wanted to know the impact that you're seeing in your IP business, the consulting business. And I think for the second half, you just made some assumption that maybe there will be some weakness from a slowdown. Can you just elaborate on those? Because a lot of the other companies aren't seeing anything in the quarter. It sounds like you already are. So maybe just what the differences there are?
Jerre Stead: That's great. Jonathan C, you start, and we'll have Gordon pick up a bit, too.
Jonathan Collins: Yes. As we highlighted, the second quarter came in largely as expected. We were a few million dollars short on inorganic. The only one that we started to see softness in was brand and trademark within the quarter. So that drove a portion of that. As we look to the second half of the year, it's largely based on our expectations. So the items that we highlighted, given a higher level of uncertainty and normal in the second half, are just causing us to be more cautious on those other areas: the consulting services where we've done a really nice job of rebuilding; the capability there and our headcount, we may see some softness; and then really new subscriptions in transactional. So a very small impact in the quarter, more of a conservative outlook in the second half given the backdrop.
Jerre Stead: Gordon, do you want to pick up on the product question?
Gordon Samson: Yeah. Absolutely. Thanks, Jonathan. Just to echo Jonathan's comments around the brand trademark transactional performance, and of course, we have experience of that from previous economic changes. There is a bit of softness in the patent search area. It's partly a discretionary spend, partly non-discretionary, but that will be at a much lower quantum. And I think in consulting terms, its timing and project scope that we see in the outlook rather than absolute change.
Jerre Stead: Thanks. Next question, please.
Operator: Absolutely. The next question comes from the line of George Tong with Goldman Sachs.
George Tong: Hi. Thanks. Good morning. Your updated 2022 organic revenue growth guidance of 4.5% appears like a relatively big update from your prior expectations of 6.5% organic growth. Can you just help bridge the gap? Which parts of the business represented the biggest surprise or downward revision for you in terms of how you're approaching organic growth? And how should we think about organic growth beyond just the second half of this year?
Jerre Stead: Yes. Great question, George. I'll have Jonathan C start and our soon-to-be CEO pick up from there. Just so you know, the position we're working on is I'm supporting their decisions going forward because they're going to be reporting to you guys and gals into Q3, at the Investor Day and into Q4. So it's them that we'll be carrying this forward. Jonathan, you start. And then Jonathan Gear, you pick up.
Jonathan Collins: Yes. We'll start with the item that we know has been on the table for a while that we said we were looking for ways to offset, and that's the decision to suspend our operations in Russia. So that accommodates -- or that accounts for about a quarter of the reduction or almost 50 bps on a full year basis. The other three items that we highlighted were the one we just talked about, the softening that we just started to see in the second quarter on the trademark and brand registrations. So as Gordon highlighted, we have good history with that business. And when the cycle starts to turn down, that's really the only area of our business that starts to see a direct impact pretty quickly. And that has a comparable impact to the Russia cancellation or the Russia suspension. The last two on consulting services, the team has done a remarkable job building that practice back up in the first half of the year. And -- but we also know from experience in a softer environment, that's a place that we'll see smaller project sizes. Utilization rates will come down a little bit as discretionary spending is constrained. And then the final item is just the expected conversion on new subscriptions and other transactional if the environment is a little tougher. So given the uncertainty, we want to be a little bit conservative there, but that's an area that we'll obviously still be shooting to drive towards the higher end of the range. And we'll watch how that unfolds in the third and fourth quarter.
Jerre Stead: Thanks, Jonathan. Jonathan Gear?
Jonathan Gear: Sure. I'll maybe just emphasize some of the points that Jonathan Collins just made. But George, just think about it in terms of those four buckets. So there are almost four equal buckets, which gets you from the 6.5 to 6, 5.5 to 5 to 4.5. The first is Russia, as Jonathan said, about 50 bps. Then the trademark business, again, about the same size and very typical what we see in the downturn, that takes you combined down about 1 point. And then the 5.5 to 4.5 is really just the cloudiness we're seeing the future given the macro environment. And I mean George has not lived this before. I've seen what happens when downturns happen on the consulting side. We've seen this in my previous employer. So I think it's just prudent to kind of take a view there. And same with the transactions, which again can be pushed off. They can be more discretionary in nature. So given that cloudiness it seems like the right thing to do to take that down. And the one thing I'll say is Russia is its own unique situation. You get the 3, the trademark business, transactional and consulting are tied towards the economy. It's tied towards discretionary spend and decisions that potentially push off spending. And as we come out of that macro environment, I would expect those to come back to their normal rates.
Jerre Stead: Thanks, George. Next question, please.
Operator: Absolutely. The next question comes from the line of Hamzah Mazari with Jefferies. You may proceed.
Hans Hoffman: Hi. This is Hans Hoffman filling in for Hamzah. Thanks for taking my question. Could you just talk about what you're seeing in your legacy life science business and how the Cortellis product is performing maybe relative to your expectations?
Jerre Stead: Yeah. Let's start with Gordon, Steen and then both Jonathans quick because it's a great question. Gordon?
Gordon Samson: Sure. Thanks, Jerre. Thank you for the question. We're seeing our life science and health care business performing well. It's performing to expectation, and we've continued to see strong growth within a number of areas and across the whole business. Certainly, you heard about the success of our real world data performance in Q2, and that builds on the work we put in last year and early this year to develop more productized solutions through our data sets and our highly curated and specialized data. We see Cortellis is performing well. We would describe it as one of our most advanced platforms and products. So it's -- from a technology perspective and from a deployment perspective, very much at the leading edge. It's one of our flagship products. And of course, our job is to keep that highly current all the time to make sure that we maintain that clean air between ourselves and the competition. So that will be my observations on your question. And I think I'll hand it back to Jerre or to Steen.
Jerre Stead: Steen, please?
Steen Lomholt-Thomsen: No. Thanks. Just a couple of additional comments. We are still seeing very solid demand in the life science and health care business, evidenced clearly by the record sales we had on health care data in second quarter. And I do want to call out that one of the exciting trends we saw on our health care data is the fact we've done our biggest deal ever. And many of these are multiyear deals that give us deferred revenue profiles in the coming quarters and the coming years. So we are still seeing healthy demand in the life science and health care business, and that obviously also includes Cortellis as well. Back to you, Jerre.
Jerre Stead: Thank you. Jonathan C?
Jonathan Collins: Yeah. I'd just emphasize the importance of Steen's final comment there, which is the nature of these transactions, the size and the future delivery of data positions us really well to continue to reduce the volatility in our transaction business. So we acknowledge there's some cloudiness, as Jonathan put it just a few moments ago, but certainly getting these deals over the finish line. We're excited about how the quarter performed, but really encouraged by what it bodes for the future quarters with deals that are effectively locked up.
Jerre Stead: And Jonathan, the first four weeks because this is a new business for you.
Jonathan Gear: It certainly is the one I'm extremely excited about. And so one of the pillars of growth long term for Clarivate will be around innovation, investing in innovation and creating new products as we bring these different assets together. And I think the Cortellis has some early examples of that. In Q1, I think we talked about earlier in the last call about the -- some of the competitive intelligence databases that we add to that, the disease landscape and forecast, adding Cortellis drug pipeline is into that. That was in Q1 as new innovation. Q2, we continued that innovation, focus on predictive analytics, again, leveraging the Cortellis data. And to me, these are just examples of what we're doing across the patch as we continue to bring different data sets together, move up the value chain into analytics and create long-term value. So great, great question. I expect more good news in this area.
Jerre Stead: Thank you. Next question, please.
Operator: Absolutely. The next question comes from the line of Ashish Sabadra with RBC. You may proceed.
Ashish Sabadra: Thanks for taking the question. I just wanted to drill down further on the organic growth at the midpoint. The -- based on the chart, it seems like you're expecting organic growth to improve from third quarter to fourth quarter. And given fourth quarter is a seasonally strong transaction revenue and just given the macro pressure, I just wanted to see how much visibility do you have for that going into the fourth quarter. And then how does that set up for 2023? Is that the right exit rate as we get into 2023? Thanks.
Jerre Stead: Great question. Jonathan C start, Jonathan G pick up.
Jonathan Collins: Yeah. It's just important to remember that we're coming off of a pretty soft comp from the fourth quarter of last year given the performance and the miss we had in transactional. So we've got a softer base off of that. When we look at the pipeline, it continues to build. Obviously, the record quarter we had in HDS in Q2 was very encouraging. And as Steen mentioned, some of those transactions will move into the second half. So we will deliver additional data in subsequent quarters that will help build towards that. But we believe with being recalibrated at the 4.5 at the midpoint, the probability of delivering there is quite high even though we'll see some improved sequential growth in the third or the fourth quarter.
Jonathan Gear: Yeah. Well said, Jon. And I'll just add repeat myself a little bit earlier question. I think that just speaks to the cloudiness we're seeing right now because -- driven by the macroeconomic environment. So it's -- I said to kind of wait to get to November when we talk about our '23 plan with some of the background behind us, but hopefully getting through some of the macroeconomic pressures and then talk about that being the launching pad in '23.
Jonathan Gear: Thank you. Next question?
Operator: Absolutely. The next question comes from the line of Andrew Nicholas with William Blair. You may proceed.
Trevor Romeo: This is actually Trevor Romeo in for Andrew. Thanks for taking the questions. And I just want to say congrats to Jerre and Jonathan on the recent leadership announcements. For the question, it seems like there's kind of some positive momentum for ProQuest in the quarter with the large deal in Asia and revenue coming in a bit above expectations. Could you kind of just comment on what ProQuest organic kind of apples-to-apples growth was in the quarter and what your growth expectation for that part of the business would be moving forward from here? Thank you.
Jerre Stead: Great question. Thanks, Jonathan C, start.
Jonathan Collins: Yeah. You'll recall when we were together last, we highlighted that the second quarter is very important transactionally for the academic business. And we have ProQuest coming on, it's not just the Web of Science now, but all of the ProQuest products from ProQuest aggregation, the e-books, the software that have the opportunities to sell transactional in the quarter. So we saw a really strong performance at the academic calendar year-end. So our digital collections did very well, had some great e-book deals, and we're very encouraged by what we saw there. So they did a few million dollars better than we expected. The organic growth in the quarter was over 4%. So we were encouraged, and we'll continue to see how that unfolds in the second half of the year as that team has built a really strong pipeline for the third and fourth quarter.
Jerre Stead : And I think -- Gordon Samson?
Gordon Samson: I'm good. No, I think Jonathan covered it all. Thank you.
Jerre Stead: Great question. Feel -- just looking backwards at that acquisition, I couldn't feel better about it. You saw, we talked about it today, we announced Monday, the largest software of sale with Innovative that we've had a combination. It's a great business. You'll see in the years to come as we grow market share and cross-sell other products into the academic and grow the government business as one of our top priorities. You'll see that as a great contributor to good organic growth in the future.
Jerre Stead: Thanks. Next question?
Operator: Next question comes from the line of Toni Kaplan with Morgan Stanley. You may proceed.
Toni Kaplan: I wanted to go to my favorite slide, Slide 16. And I want to put transactional aside. And just since that's more macro-sensitive and you already talked about it. So on the renewal rate and cross-sell, you've had a number of initiatives you've done to try to improve those, but they're really not moving that much at this point. So I guess what's holding retention and cross-sell back? And do you need to invest extra in new product development, for example or are you at a good investment level right now? Just what extra can you do to try to drive those two areas? Thanks.
Jerre Stead: We'll have Jonathan Collins start and then Gordon and then Steen pick up.
Jonathan Collins: Yeah. Just as a reminder, the primary thing holding us back on the renewal rate is Russia. So the cancellation of that business, we would be quite close to where we expected it to be if it weren't for that. The investment that we made in the inside our digital sales team and the focus and attention and that can give all of our field sales reps on delivering those strong renewals has really helped and started to pay off, but it's just muted by the suspension of our business in Russia. From a cross-selling perspective, as Jerre highlighted, very encouraged in the sales that we're seeing of Web of Science outside of A&D and life sciences and health care products outside of that vertical. We always expected that, that would ramp up through the year. And Steen will probably want to touch on some of the great traction that we're seeing there. But the change management really has been happening early in the year, and we expect better outcomes and improved success there towards the second half.
Jerre Stead: Okay. Let's do Gordon and then Steen because this is a critical question for us.
Gordon Samson: Sure. Yes. Thanks, Jerre. So as Jonathan has just confirmed, the CMT sales, Web of Science are a great example of that. There are many other examples that maybe aren't visible yet, but if you think about some of the integrations we already with Web of Science across some of our ProQuest products, including things like Books RefWorks, Smart Harvester product, and importantly, things like Pivot and Esploro, which take us into the research in the proposed office of the academic world. So those combinations are game changing because they are things which our competitors simply don't have the assets to combine. So you'll see more of those activities bearing fruit in terms of execution in H2. And just one other example, maybe straight from a customer visit, which is always a good way of bringing us to life where a couple of our customers we've spoken to last week were talking about our search business are part of the old IP business, but how much richer the search business results were by using data and assets from the ProQuest acquisition. So these are non-IP and non-science data sources adding business data and information and value to create even better insight for search results. So I think we're just beginning to see the momentum build in those areas of potential cross-sell.
Jerre Stead: Thanks. And Steen, who had just recently celebrated his first anniversary pick up. As you and I talked yesterday, I couldn't be more pleased with the One Clarivate effort that's underway. But you pick up, Steen, please.
Steen Lomholt-Thomsen: No. Thanks, Jerre. And just as a reminder, we basically put One Clarivate in place second half last year. We went through a accelerated implementation coming into 2022. And I would categorize the phase we're in now as a pure execution phase. And we've seen the first evidence of success already in the second quarter. And I think as we progress in the second half, we will only go from strength to strength on cross-sell. We have to remember as well that we just put in a lot of account managers that are building new customer relationships and reaching out to new personas that they normally have not been reaching out to and have relationship with in the past. But we're really beginning to see those benefits as well. So we saw some great proof points in the second quarter on cross-sell, and we will continue to see that in a far more systematic way as we progress in the second half. And it will be, for sure, a path for growth as we get into '23, no doubt about that. Back to you, Jerre.
Jerre Stead: Thank you. Thank you, Toni. And with that, we'll close. I got up at my usual time -- actually a little earlier, about 2:30 this morning, and realized this was my last ever, in fact, my wife reminds me of that every day, my last ever quarterly and annual call. And I'll tell you, I've never felt better about the company. I've never felt better about the organization, the leadership, the people in the company or what we provide to our customers. So I look forward, as I said earlier, to being the greatest cheerleader that Clarivate's ever had. This is a great team and a great company. And I'd just tell you all, thanks very much for your patience and what we'll do for years to come. Thank you. End of story. Operator?
Operator: That concludes your conference call. Thank you for your participation. You may now disconnect your lines.